Operator: Good day, ladies and gentlemen. Welcome to the Quanex Fiscal Fourth Quarter and Year End 2013 Conference Call. [Operator Instructions] During today's conference call, company management may make forward-looking statements about the future prospect of Quanex Building Products. Participants should refer to the company's Form 10-K filed with the SEC for more complete forward-looking statement disclosures. Additionally, the company may refer to non-GAAP figures throughout today's call. A reconciliation to the most comparable GAAP figure is included in the company's most recent earnings release, which is available along with the company's Form 10-K at the company's website at www.quanex.com. Last, participants are reminded that today's conference call is being recorded. I would now turn the conference call over to Mr. Bill Griffiths, Chairman, President and CEO of Quanex Building Products for opening remarks. Please go ahead, sir.
William C. Griffiths: Thank you. Good morning, everyone, and thank you for joining us on our fourth quarter conference call. It's a pleasure to speak with you. On the call with me this morning is Brent Korb, our Chief Financial Officer; and Marty Ketelaar, our Vice President of Treasury and Investor Relations. Unfortunately, Brent's a bit under the weather this morning, so I'll be covering the prepared remarks and he will join us for the Q&A session. You will recall after taking over this summer, I stated that you should not expect to see any dramatic shifts in the strategic direction of Quanex. I also stated that you would see a more focused effort on specific tactics that will position our business for growth, along with an increased sense of urgency. These statements all remain true. Our goal has always been to grow at a faster pace than the market, to grow through acquisitions and to do both with improved profitability. Our execution in achieving these goals over the last few years has been less than stellar, but it does not mean that those goals are unachievable. During this past quarter, we finally put Project Quest behind us. And together with some other cost reduction activities, we have significantly reduced our corporate cost for 2014. This alone will allow us to return to profitability. At Nichols, we have been reinvesting in the business and as a result, are seeing improvements in equipment uptime and productivity, which allowed us to regain share, improve shipments and bring the operation to EBITDA profitability at net spread levels of only $0.41. Within EPG, while growth at above market levels has been elusive, margins have steadily improved through facility consolidation and productivity improvements. The combination of these operating improvements and reduced corporate costs set the stage for a profitable 2014. Specifically at EPG, we expect to realize revenue growth of around 5% and we expect to maintain our EBITDA margins in the 13% to 14% range, despite continued pricing pressure in our vinyl business. At Nichols, we expect net sales growth in the mid to high single-digit range. But due to the uncertainty surrounding the new warehouse rules and their potential impact on net spreads, it is difficult for us to provide specific EBITDA guidance for Nichols at this time. Adding to the uncertainty of Nichols' 2014 EBITDA performance is the potential impact of a fire that occurred in November at the Alabama facility. The fire impacted our rolling capabilities at the cold mill. And to the extent that we are unable to complete repairs before the building and construction season picks up, we may need to outsource our rolling capabilities at this facility. However, even in a low, stable spread environment, we expect modest improvement in Nichols' EBITDA results in 2014, due to the operational improvements completed to date and those contemplated for fiscal 2014. In addition, any spread increase will generate $3 million per $0.01 of improvement. As I said, corporate expenses will decline significantly in 2014, from $62 million to $30 million, more in line with our expenses prior to the start of the ERP project. In addition to the ERP related reductions, we've also made some other expense reductions, primarily related to our IT infrastructure spending and external consulting costs. Capital expenditures, primarily to support growth and productivity initiatives, are expected to be about $40 million in 2014, with the majority of the spending at EPG. There are no single, significant capital projects at either EPG or Nichols this year. Nichols' capital expenditures will be fairly consistent with 2013 levels. In summary, even without a strategic move, we would expect to generate EBITDA in the range of $55 million to $65 million in 2014. Now turning to our financial results. We had a strong finish to the year. Consolidated fourth quarter net sales increased 17% to $275 million, while fourth quarter EBITDA increased to $25 million compared to $10 million a year ago. The improved results were due to higher sales across all divisions within EPG and cost savings associated with the IG facility consolidation, which generated savings of $8.7 million, slightly better than our $8 million estimate. Both net sales and operating income results were in line with the second half 2013 guidance we provided at the end of our fiscal second quarter. Engineered Products ended the fourth quarter with net sales up nearly 22%, or 10% excluding Aluminite, and EBITDA was up $5 million over the year-ago quarter. North American fenestration sales for the last 12 months increased 18%, or 6% excluding Aluminite. Preliminary Ducker numbers have U.S. window shipments increasing 11% for the 12 months ended September 2013, driven by a 24% increase in new construction shipments. Nichols' net sales for the fourth quarter were $111 million, an increase of 9% over fourth quarter 2012 results. Nichols shipped 83 million pounds, 14% better than the 73 million pounds shipped in the year-ago quarter. Nichols' fourth quarter 2013 EBITDA was $6 million compared to less than $1 million in the prior year. Spread increased $0.01 to $0.42 per pound in the fourth quarter versus $0.41 per pound in the year-ago quarter and increased sequentially by $0.03 a pound when compared to the third quarter of 2013. The change in product mix, as well as lower spreads resulting from low LME prices and higher scrap aluminum prices, continues to challenge Nichols' profitability. The Aluminum Association, which tracks industry shipments of sheet products, reported industry volumes for the 12 months ended October 2013 decreased 3%, while Nichols shipments increased 17%, indicating that Nichols has recovered share losses from 2012. Corporate expenses were $24 million this quarter compared to $11.7 million in the year-ago quarter. Included in the current quarter results was a $15.3 million noncash ERP-related accelerated depreciation and LIFO inventory income of $2.6 million. Excluding these items, fourth quarter 2013 corporate expenses were $11.3 million. Going forward in 2014, there will be no new costs incurred related to Project Quest and only a very modest amount of depreciation related to the human resources and corporate systems still in use. We ended the year with solid cash generation in the quarter, resulting in $50 million of cash on hand and no outstanding borrowings on our revolving credit facility. Just to summarize, if we exclude the onetime costs and expenses related to Project Quest, impairments and LIFO income, we generated EPS this quarter of $0.28. As you know, this is always our strongest seasonal quarter. However, as I said earlier, it sets the stage for a profitable 2014, which we anticipate being in the $55 million to $65 million EBITDA range. In order to improve from this baseline, we are examining a number of potential strategic growth opportunities. We view ourselves as a supplier of components to window manufacturers. We believe we are the only supplier with a full range of window components, including vinyl profiles, IG spacer, screens and grills. Many of these components are also manufactured by the window OEMs themselves. One strategy is to acquire these assets, as the OEMs start to face capacity constraints within their window assembly operations. This strategy is similar to the successful acquisition of JELD-WEN's Yakima, Washington vinyl extrusion facility we completed nearly 2 years ago. This low risk strategy expands our geographic footprint and increases our share of the entry price point market at the same time. A number of OEMs have expressed varying degrees of interest in this proposal, and we will continue to aggressively pursue this strategy throughout 2014. This could result in a number of smaller transactions in the $5 million to $10 million price range. A second area of strategic growth under consideration is to expand our geographic horizons and look at window component manufacturers internationally. Europe, for example, is double the size of the North American market and is much more focused on energy efficiency. Any potential transactions in this area would likely be deals of scale rather than bolt-ons. Evaluation of this potential strategy, however, is still in its early stages. While the business is well positioned for a profitable 2014, future growth expectations will remain lower than market until the R&R sector recovers or until we can acquire or develop more entry price point products to gain further share in the rapidly rebounding new construction market. With our clean balance sheet and stable and profitable operations, we are now better positioned to fully execute a growth acquisition strategy. And with that, I would now like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Scott Levine with Imperial Capital.
Scott Justin Levine - Imperial Capital, LLC, Research Division: So I can appreciate your comments regarding the market outlook for EPG, but the -- just in the past, I think you've kind of characterized Ducker numbers as somewhat aggressive -- or the company has. But if you apply the 70-30 mix of R&R and new construction to the Ducker numbers, you can arrive at an EPG growth rate on volume that's much higher than what you're guiding to on revenues. So I was hoping maybe you could -- able to provide some context around your outlook for EPG to get a sense of how conservative that might be and whether there's any other factors regarding market share that may impact that outlook.
William C. Griffiths: Good question. I think if you track history, you would see that Ducker tends to be somewhat aggressive in their forecasting, and I -- we still believe that's the case for 2014. And more importantly, I think his forecast for the R&R recovery, as it relates to windows, is probably a little early, and that's -- if there's any degree of conservatism in our estimates, that's where it is. We do not think that the R&R market is going to recover as fast as he is predicting. If it happens, of course, we will do better than the numbers we have out there right now. But while there are great signs from all the leading indicators in the sort of early stages of an R&R recovery, we still believe that because of the cost of replacing windows, that's likely to take a little longer than next year. And that's really the essence of where we part company, I think.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Okay, fair enough. That makes sense. Then maybe with regard to the growth initiatives. I think last quarter, you cited some internal initiatives regarding relocation, manufacturing facilities and co-locating, et cetera. In your prepared comments, you're talking more about M&A. Does that imply that the growth initiatives are more likely to favor external rather than internal initiative? And maybe a little bit more context around your willingness, if necessary, to lever up to investment any opportunities?
William C. Griffiths: Yes. So there are 3 answers to the question. We are, in fact, still considering some internal moves, as well. They go in conjunction with potential opportunities that are in front of us for small acquisitions that will improve where we are within the U.S. So both of those things go hand in hand. If there's an opportunity to buy an operation, we will certainly do that. If that looks as though it's not on the cards and we see an opportunity in a region where we'll have to invest in either relocating or selling out something new, we will do that as well. And obviously, we have a clean balance sheet. If there's a transaction of scale, the ones we're talking about with the OEMs, I think we'll all be able to handle those out of operating cash flow. But if there's a transaction of scale out there, yes, we are prepared to lever up to do that.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Got it. One last one, if I may, really quickly. The fire at the plant in Alabama, I think you said, is any impact associated with that embedded within your outlook for aluminum? Or is that really not expected to be -- how much of a swing factor might that be on your aluminum products business?
William C. Griffiths: It is not included in the numbers. And I mentioned it because, at this stage, we're still trying to figure out how -- obviously, equipment like that has very long lead times, and we're still trying to figure out exactly how long that's going to take. Optimistically, we'll have that replaced and up and running before the season starts, and there'll be no impact on the numbers, positively or negatively. If for any reason, that, that gets delayed into the season, the possibility exists that we'll have to outsource some capacity there.
Operator: Our next question comes from Nick Coppola with Thompson Research Group.
Nicholas A. Coppola - Thompson Research Group, LLC: So on the EPG outlook and the comments regarding flattish EBITDA margins, with 5-ish percent type top line growth, I guess, really, why can't you get leverage in that segment? And I'm sure there's a couple of components in there, but maybe as kind of a follow-up, talking about that pricing pressure on vinyl profiles.
William C. Griffiths: Well, partly because the growth, remember, is coming from multiple products across multiple facilities. And we continue to see pressure, particularly on the vinyl side for downward pricing. And so the combination of all of those things, I'm telling you that my expectation is we'll hold margins. Obviously, if there's an opportunity to improve, then we will. But right now, I think that's the appropriate way to think about things going forward.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay. Is that pricing pressure really just an industry capacity issue?
William C. Griffiths: No. I think a lot of it is actually being driven by big box manufacturers pushing down through the window suppliers, and it varies tremendously. There's no sort of unilateral answer here. It varies by product and it varies by individual customer. But clearly, we're seeing pricing pressure.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay, and last question. Just looking for a bit of an update on your strategy to increase exposure into new construction and as part of that, what would be your ability to add some of those lines organically? Or do you really have to get that additional exposure through acquisitions?
William C. Griffiths: Our preference is to do it through acquisitions. We've done a significant amount of work internally. And as I think I've stated before, particularly on the vinyl side of the business where we are positioned at the higher end of the market, it's actually very difficult to develop those lower entry point -- price point products and maintain the margin. The most important thing for us is to maintain the margins. And if we can't do that, then we won't dive into that market in a big way. However, clearly, some of the work we've done on potential acquisitions would indicate if we're able to buy assets that are already positioned there. We can have the best of all worlds.
Operator: Our next question comes from Robert Kelly with Sidoti.
Robert J. Kelly - Sidoti & Company, LLC: Just a question on your outlook for Nichols, as far as the modest improvement. Sequentially, what's going to happen with pricing and spreads since the October quarter ended? And then maybe just phasing, as far as 2014 goes, will you be losing money in the first half of the year before the construction season builds? Or do you expect to be profitable throughout?
William C. Griffiths: No. I think that because of the seasonality of the business, we're going to have a similar seasonal cycle that we've had historically. We will lose money in the early part of the year and have the big ramp-up at the end. I think if you go back in history, that's been fairly consistent, and I don't expect that to change. At Nichols, that business is driven so much by spread levels, which, as we've said many times, are obviously beyond our control. So the way we are trying to portray that business now is if spread levels remain the same, what's going to happen? And we continue to work on productivity there. The management team has done a great job at improving that business after the strike. We've invested a significant amount of capital, which is improving machine uptime. So a combination of those things has given us improvement in 2013, because spread levels in '13 where the same as they were in '12. And so you can see that flowing through and there'll be some more residual to that in 2014, partly due to actions already -- that have already been taken in 2013, but also we'll continue those plans as well. Having said that, those numbers are going to be, in the grand scheme of things, relatively modest. So I guess, it's a long-winded way of saying, if the spread environment stays exactly the same, we will continue to show a slight improvement in profitability in that operation, but don't expect it to improve by leaps and bounds.
Robert J. Kelly - Sidoti & Company, LLC: Understood. And then how have spreads behaved since the October quarter closed?
William C. Griffiths: They've been reasonably stable, and it looks like the early part of this year is going to be pretty similar to the way that the year closed.
Robert J. Kelly - Sidoti & Company, LLC: All right, great. And then just as far as EPG, I understand the conservatism with respect to how Ducker's portrayed in calendar '14, but you talked about the international growth opportunities there. Could you give us an update on how things are progressing in the German facility -- the German spacer facility, what your expectations organically internationally could be in 2014?
William C. Griffiths: They continue to improve by some pretty big percentages. But keep in mind, it's a $50 million revenue operation. And so if, for example, that they took $50 million to $60 million, we'd be delighted and that would be fantastic performance. But on a $1 billion revenue base, it gets sort of lost in the rounded a little bit. But it continues to do extremely well. We're very enthusiastic about the opportunities, both there and in the U.K.. So that continues to be a major thrust for us.
Robert J. Kelly - Sidoti & Company, LLC: And then just on Aluminite, I'm assuming that's close to or fully integrated at this point?
William C. Griffiths: It is.
Robert J. Kelly - Sidoti & Company, LLC: The strategy there, I mean, Aluminite was your good -- right product for your good, better, best strategy?
William C. Griffiths: Correct.
Robert J. Kelly - Sidoti & Company, LLC: How much impact did the acquisition of Aluminite have in kind of the strategic focus that you have now? And did you -- did that alleviate any pricing pressures you had in the better, best product lines for screens?
William C. Griffiths: It did. It absolutely did. And to my point about acquiring the capability, we made no bones about it, Aluminite's entry level price point is significantly lower than our core screen business, but the margins are very similar. And hence the comment, I think we can maintain margins even at lower price points, but it's certainly much easier to acquire that. The other thing that Aluminite brought to us too is their business model of close proximity to customers' assembly plants has really given us some new ideas for other parts of our business. And one of the things that's under exploration that we sort of partly answered in an earlier question is that we are starting to look at manufacturing campuses where we could potentially be manufacturing 2 or 3 different products and really leverage the proximity to our customer base. More to come on that.
Robert J. Kelly - Sidoti & Company, LLC: Very helpful. Yes, hopefully. And then I didn't hear in the prepared remarks and I didn't see it in the release, did you have depreciation and amortization expectation for fiscal '14?
William C. Griffiths: I'm going to have Marty answer that question.
Martin P. Ketelaar: The depreciation are fairly similar to historical levels, kind of in that 40-ish range for '14.
Robert J. Kelly - Sidoti & Company, LLC: So 40-ish for '14? Okay.
Operator: Our next question comes from Peter Lisnic with Robert W. Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Just on the -- on EPG and pricing. Is it -- are you seeing any sort of incremental pricing pressure? Or when you look at '14, what you're building in your forecast is just sort of a carry-forward of kind of what you've experienced in '13 and some of the contracts that were kind of written in that time horizon?
William C. Griffiths: Yes, it is more of the latter, actually. But that's not to say that we won't get continued pressure now. We're hopeful that as new construction continues to grow and capacity becomes more and more of an issue for the window manufacturers, some of this pricing pressure will alleviate.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. That actually was leading to my next question, which is as you're writing some of these new contracts with customers, are you able to get better price nowadays than maybe you had gotten 6 months or 12 months ago?
William C. Griffiths: Not yet.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Not yet. Okay. Okay, good, good on that one. And then when I look at the Nichols forecast, mid to high kind of top line growth. Can you give us a feel for what's embedded there in terms of a volume versus price perspective?
William C. Griffiths: Well, there -- it is mostly volume, in fact. I mean, they are still recovering share loss as a result of the strike. And we have a number of initiatives there to really improve our position in the painted product, which, of course, we put a significant investment into the Alabama facility because that had been an issue for us historically. So some of that forecast is increased volume in coated product.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. So are you seeing some recapture, if you will, of the painted sheet? And is that embedded in terms of the margin improvement or mix improvement for '14 as well?
William C. Griffiths: We have not seen it yet. That facility had the paint line up and running towards the latter half of last year. So it's going to take a while. And then, of course, we had the fire, which didn't impact the paint line, but obviously impacted management and their ability to respond, because they're obviously busy trying to figure out how to get that cold mill back up and running as fast as possible. That's been a little slower coming than we had hoped.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay, understood. And then just on the strategic growth outlook or initiatives. As you look at customers who are thinking about the -- what the deverticalization of their businesses, is that an equation where you can go in and say, there's a positive ROI or a positive return to the customer and to yourself? And is that -- as we look at the return profile of your business, if that happens, would that be stronger incremental return business for you or kind of in line? Is it -- is that a margin enhancement opportunity as you kind of put that strategy in place?
William C. Griffiths: I don't think it's a margin enhancement strategy per se. But what it does do for us is it gets us closer to our customers' assembly operations in a lot of cases. And we've seen them through the Aluminite model how successful that can be because you take cost out of the system all around. If you just got a wheel components across the parking lot or across town as opposed to shipping it several hundred miles, whether we gain that as part of our margin improvement or whether we give it to the customer, there is cost coming out of the system there. So there is ROI for us, clearly, because we're getting more and more into the entry price point because that's where most of the OEMs handle the entry-level stuff themselves and then outsource the higher end. So it gets us into that segment of the market, which as we talked about, will improve our growth profile. And for the customer, I mean, depending on the customer and the facility, it can have a pretty significant effect on their capital investment profile. Because clearly, after a pretty robust new construction season, many of them are getting close to, if not bumped up against, some capacity constraints. And as they look forward into 2014, in the slow season, many of them are evaluating, "Okay. So if, in fact, new construction is up another 20% next year, how am I going to be able to make 20% more windows?" And that's where the discussions are starting to take place. And look, it's not universal. It's not even universal within a customer. In many cases, it's literally plant by plant. We have some customers we're talking to where there's this consideration of 1 plant and not at another. There is an opportunity.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: And I think we've talked about this in the past. But those capital investments that you would then subsequently make would be more modest. And presumably, there's nothing like that embedded in the $40 million that you're talking about for fiscal '14 spending, correct?
William C. Griffiths: That is correct.
Operator: Our next question comes from Dan Moore with CJS Securities.
Daniel Moore - CJS Securities, Inc.: Just looking at the corporate expense line. Adjusted corporate expense was just about a little over $11 million for Q4 and you're guiding to $30 million for '14, which is $7.5 million a quarter. What is the incremental benefit or decline or -- in your -- embedded in your guidance? What's driving that? And am I just sort of comparing apples to oranges? Am I missing something there?
William C. Griffiths: Actually, you are, but that's our fault because we weren't clear there. Included in the fourth quarter were still some direct expenses on ERP that have now concluded. If you take those expenses out as well, you're at about the $7.5 million number. So to be perfectly clear, our current run rate is in that $7.5 million a quarter range. So we are there. There are no further actions required to get to that number other than managing budgets appropriately.
Daniel Moore - CJS Securities, Inc.: Perfect. I had trouble joining the call, so if you touched on this, please forgive me. But in the first few months, you've spent, obviously, looking hard at the EPG group. Now that you've had a little bit more time to look at Nichols, maybe just talk about strategically how you think that fits into your collection of assets longer term?
William C. Griffiths: We -- look, I think we have Nichols at the point now where it's operating as well as it has in sort of recent history. And we're clearly still struggling with an aluminum market that's severely depressing any efforts we make there in terms of productivity. If there were an opportunity to divest that business at a fair value for the shareholders, we would clearly consider doing that and potentially reinvest that into our window components business. But we would not do that unless we can return -- or get fair value for it, certainly in the eyes of our shareholders. So it's a bit of a difficult situation.
Daniel Moore - CJS Securities, Inc.: Understood. And lastly, just turning to the balance sheet. You have about $50 million of cash and will likely grow that a little bit even including the $40 million of CapEx for next year. Absent -- I know the priority is acquisitions. Absent significant acquisition opportunities, would you look to perhaps more aggressively repurchase shares or other strategic alternatives?
William C. Griffiths: At this stage -- and obviously we're not going to go into details about this. But at this stage, we see enough in front of us with the acquisition strategy that I wouldn't want to commit to doing that, because I do believe that there are some transactions out in front of us that will improve our business going forward. If we get to the stage where we exhaust those possibilities, then that is an iteration, we'll take a look at. I just don't see that happening at this point in 2014, realistically.
Operator: Our next question comes from Phil Gibbs with KeyBanc.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: A question on the corporate piece. And I may have missed some of this, so if you already talked about it, I apologize. The $30 million, what is that -- what is the embedded assumption there for D&A and SG&A for the $30 million?
Martin P. Ketelaar: I'll chime in. I think D&A for corporate for next year is about $3 million.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay, that's very helpful. And curious about your ability to potentially switch to automotive body sheet instead of just full reliance on common alloy, would that take a huge amount of capital expense to do that?
William C. Griffiths: It would, and that is not on the cards.
Operator: And I'm currently showing no further questions at this time.
William C. Griffiths: Okay. I'd like to thank everyone for joining us on today's call. I am very excited still about the opportunities I see in front of us. We have a very stable base now for which to move forward on. And I look forward to talking with you as we go through the year and updating you on our progress. And I'd like to close with wishing everyone a safe, happy and healthy holiday season. Thank you.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect, and have a wonderful day.